Operator: Good day, ladies and gentlemen, and welcome to the Blucora Q4 2012 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce the host for today's conference, Bill Ruckelshaus, President and CEO; Eric Emans, CFO; and Stacy Ybarra, Senior Director of Investor Relations. Please go ahead.
Stacy Ybarra: Good afternoon, and welcome to Blucora's Fourth Quarter and Full Year 2012 Earnings Call. Before we begin, I'd like to remind you that during the course of this call, Blucora representatives will make forward-looking statements, including, but not limited to, statements regarding Blucora's expectations about products and services; outlook for the future of our business and growth initiatives; and anticipated future financial performance. Other statements that refer to our beliefs, plans, expectations or intentions, which may be made in response to questions, are also forward-looking statements for purposes of the safe harbor provided by the Private Securities Litigation Reform Act. Because these statements pertain to future events, they are subject to various risks and uncertainties and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include, but are not limited to, the risks and other factors discussed in Blucora's most recent quarterly report on Form 10-Q, on file with the Securities and Exchange Commission. Blucora assumes no obligation to update any forward-looking statement, which speaks only as of the date the statement is made. In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In the press release, which has been posted on our website and filed with the SEC as an exhibit to the current report on Form 8-K, we present GAAP and non-GAAP results along with reconciliation tables and the reasons for our presentation of non-GAAP information. We have also provided supplemental financial information to our results in the Investor Relations section of our corporate website at www.blucora.com and as an exhibit to our current report on Form 8-K. Now I'll turn the call over to Bill Ruckelshaus. Following his comments, Eric Emans will review the fourth quarter and full year results and our outlook, then I'll open up to your questions.
William J. Ruckelshaus: Thank you, Stacy, and good afternoon. Blucora performed well last year and we finished strong in the fourth quarter. Revenue for the full year 2012 was approximately $407 million, up sharply from $229 million in 2011 on strong growth in search and reflecting our acquisition of TaxACT last January. Adjusted EBITDA was $80 million compared to $37 million in 2011, again reflecting the acquisition of TaxACT and 35% segment income growth in search. In 2012, we started to deliver on the considerable promise of this company, combining disciplined operations with smart capital allocation and M&A. With the addition of TaxACT, Blucora is more diversified, faster growing, more profitable and generate substantially greater free cash flow. As we look forward this year and beyond, we see multiple levers for creating value for shareholders and we'll continue our dual focus on operational execution and sound investment. It's an exciting time to be at this company and we really are just getting started. I will turn this to Eric shortly to discuss our results and outlook in more detail. But first, I want to speak to some important trends and updates within our 2 businesses. Our Search segment is coming off a fantastic year in 2012. Revenues expanded 51% in the full year to roughly $345 million. Segment income grew to over $62 million. Fourth quarter revenue was up 45% over 2011, so we entered 2013 with momentum. Our search performance reflects the growing strength of our distribution network where we continue to bring high service levels, outstanding content and superior monetization to a diversity of partners. We are a trusted partner with both Google and Yahoo! and have been in business with both companies for over 10 years. This year, beginning in Q1, we are implementing changes with our downloadable applications partners in keeping with new agreed guidelines with Google. Because there is a third degree of public discussion about these changes and their impacts, I'll provide some context here and discuss how I believe this will affect the industry and our business moving forward. In the past decade, users have evolved in how they consume digital content through applications on the desktop, mobile devices and tablets. Search has played an important role in this trend, first and foremost, in helping consumers find the content they desire. Search also allowed developers of content to monetize through ad-supported models and to add functionality to their offerings. This exchange of value where users consume content free in exchange for ads sits at the center of most media business models, and it's no different for applications. On the Washington Post website, the exchange for free journalism comes in a form of display ad with applications, its toolbars and search boxes. Application developers are an important segment within our partner network. During the last few months, we've been working with these partners on implementation of new policies governing how together we integrate search within their software download processes. The end goals for users are worthy: greater transparency, more explicit permissions and heightened awareness. We support these changes with Google and believe the industry will benefit from them in the long run. As with any change, there will be a transition period as the market takes time to digest. These changes will reduce the conversion rates of some of our partners over the next several quarters. We expect that these impacts will be felt in the back half of the first quarter and will bottom out sometime in the second quarter and then, we will begin to grow again. There will be a reset of sorts in the ecosystem. Application partners with compelling content and great utility will continue to thrive. The fundamental value exchange, content and utility for ads, will persist and strengthen. Lifetime values will increase over time as a result of improved user consent. As we look forward, we are cautious in our short-term outlook but long-term optimistic about growth opportunities in our Search business, and we are continuing to invest in Search overall. Our team is developing tools and technologies to enhance our solutions for global partners, and our sales team continues to identify new partnership opportunities to grow our network. We are automating to drive quicker onboarding of partners and we continue to focus on enhancing our metasearch platform to bring in multiple content sources and help us expand more quickly to mobile. Moving now to our tax preparation business. It's been an interesting start to the season this year. As you know, due to revisions to the 2012 budget passed by Congress early January, the IRS made late changes to tax forms and did not begin accepting or processing 2012 tax returns until January 30th, 8 days later than expected, and 13 days later than last year. Additionally, the IRS won't begin to process returns that include certain credits until mid-February. Also, many employees received W-2s later than usual related to health insurance reporting requirements in the Affordable Care Act. As a result, the industry overall is off to a slow start this year across all tax preparation modalities. Instead of the typical early-season peak, we are seeing that peak spread out over a longer period of time. The delay in IRS processing and changing taxpayer behavior challenge comparisons to prior seasons. However, the data we've seen thus far suggests that we are performing well to date. We continue to believe that digital do-it-yourself category will demonstrate healthy growth again this year. And we expect TaxACT to grow filings in line with the market this season. We see a continued secular shift to DDIY within a tax-preparation market. TaxACT is well positioned in the category as the leading value brand, and we continue to have confidence in our ability to participate in this secular growth and build upon our share position in the future. Last summer, we made focused investments in 4 key areas: instrumentation and business intelligence to improve filer retention and acquisition; core product enhancements to simplify the tax-preparation experience; tablet and mobile product introductions; and additional offerings around basic tax prep to bring more value to our filers. We continue to believe TaxACT offers a comprehensive product at a considerably more fair price than alternative DIY solutions. We look forward to competing aggressively this season and beyond to build share, grow awareness and expand the business top and bottom line. We are pleased with the early returns thus far. Our development efforts are validated by favorable reception from customers this year and positive product reviews, including an excellent rating by PC Magazine. I want to spend a few minutes discussing a few of the new offerings this season. This year, we launched our mobile app, DocVault, for organizing and saving tax documents. DocVault empowers consumers to create digital copies of tax documents and information for free. Images can be uploaded to TaxACT secure servers throughout the year where they are encrypted and saved. With the addition of DocVault, our filers now have a suite of TaxACT products to use across a variety of devices for seamless year-round tax prep assistance. Also new this season, we are partnering with a leading mediation company to offer our filers expert representation in IRS and state income tax return audits. For a low upfront fee, tax audit defense CPAs, IRS-enrolled agents and tax attorneys guide members through an audit from start to finish. TaxACT filers already receive free step-by-step audit guidance, one-on-one help and accuracy guarantees to help reduce the likelihood of an audit. Our new audit protection service enhances these offerings and aligns well with our complete and affordable portfolio of tax prep solutions. We are also trialing a new product, LegalACT, an easy and affordable DIY solution to create a last will and testament in a few simple steps. After completing an interview-based questionnaire, users can preview and edit their will and then print or download the document. More than 7 out of 10 Americans do not have a will, in part because of the assumed need to hire a lawyer to put one in place. With LegalACT, we empower our filers to do it themselves. Overall, I'm very pleased with the progress of TaxACT. We entered the current season with increased momentum driven by product enhancements and programs aimed at increasing consumer awareness, all of which position us for growth this season and beyond. Before I turn the call over to Eric to go over the performance and financials in more detail, I want to take a moment to update you on the capital strategy of Blucora. We changed our name to Blucora last year shortly after acquiring TaxACT, an acquisition that transformed our business from one predominantly focused on search to a company with a broader mission, to provide industry-leading online solutions to consumers and business partners. We are pleased with the performance to date of our combined businesses, and we continue to generate strong, free cash flow. In evaluating opportunities for shareholders to participate in our success, the Board of Directors recently authorized a $50 million share repurchase program. This relatively modest buyback program will help us offset equity dilution and return value to our shareholders while maintaining flexibility to pursue investment opportunities in the future. In summary, we're optimistic about the future and we're executing successfully against our plan. We look forward to 2013 and having you onboard. With that, I'll turn it over to Eric for more detail on our performance.
Eric M. Emans: Thanks, Bill. Let's jump into the results for the fourth quarter and full year 2012. Fourth quarter consolidated revenue was $97.5 million, up 46% versus prior year, and adjusted EBITDA was $12.1 million, up 19%. Non-GAAP diluted EPS was $0.24, up from $0.17 and GAAP diluted EPS was $0.04, down from $0.57 versus the prior year. The year-on-year decrease in GAAP EPS was driven by 3 factors. First, in the fourth quarter of 2011, we recognized a tax benefit of $18.9 million or $0.47 per diluted share as we released valuation allowance on operating deferred tax assets. Second, the fourth quarter 2012 excludes the impact of a gain on derivative accounting of $1.9 million or $0.05 [ph] per diluted share. And third, the fourth quarter 2012 includes the impacts of the TaxACT acquisition-related costs, most notably amortization expense on the acquired intangible assets. For the full year, consolidated revenue was $406.9 million, up 78% versus 2011 and adjusted EBITDA was at $80.4 million, up 120%. Revenue and adjusted EBITDA benefited from the acquisition of TaxACT consummated on January 31, 2012, which contributed revenue and segment income of $62.1 million and $30.1 million, respectively. Non-GAAP diluted EPS for the year was $1.70, up from $0.74 in the prior year benefiting from the TaxACT acquisition. GAAP diluted EPS for the year was $0.54, which is slightly down year-over-year, reflecting a combination of factors including the aforementioned tax benefit in 2011, which was partially offset by the impact of discontinued operations in the first half 2011 and the 2012 acquisition-related costs. Before moving on to segment performance, I want to touch on the 2012 pro forma results, which include full year TaxACT results and exclude the impact of purchase accounting adjustments and certain nonoperating expenses. Consolidated pro forma revenue and adjusted EBITDA were $430.4 million and $90.9 million, respectively. Pro forma non-GAAP net income was $80.9 million or $1.94 per diluted share. Additionally, pro forma levered free cash flow was $81.9 million. Lastly, we finished the quarter with cash and cash equivalents and short-term investments of $162.3 million, a debt of $74.5 million for a net cash of $87.8 million. Now for our segment performance. Search had another strong quarter, generating $96.3 million in revenue and $17.4 million of segment income, up 45% and 36% from prior years. Search performance continues to be driven by our distribution business, especially from distribution partners launched in 2012. Revenue from these partners for the fourth quarter was $18.3 million, and for the year, was $38.3 million. We are pleased with segment income margins, which were 18% for the quarter, down 120 basis points versus last year due to our mix shift from owned and operated to distribution, which represents 89% of fourth quarter Search segment revenue. For the year, Search revenues were $344.8 million, up 51% and segment income was $62.2 million, up 35%. Again, the results were driven by distribution revenues which grew 67% in the year. In short, it was a great year for Search. Turning to the tax preparation segment. Fourth quarter revenue for the TaxACT business was $1.2 million, and the business generated a segment loss of $2.5 million, both of which are in line with expectations for periods outside of the tax season. As previously mentioned, the revenue for the year was $62.1 million and segment income was $30.1 million on an as-reported basis. On a pro forma basis, revenue for the full year was $85.6 million and segment income was $40.5 million, which represents 9% and 8% year-on-year growth. Unallocated operating expenses for the fourth quarter were 200 -- $2.8 million, and for the full year were $11.8 million, both up from the prior year reflecting increased resources in infrastructure needed to support multiple businesses. I'll spend a few minutes talking through our expectations for each segment. The Search segment has some short-term headwinds in light of the recent policy changes instituted by Google that will impact a portion of our distribution partners. As Bill said, we believe these changes are good for users and therefore, good for our business long term. But as we've seen in the past, events such as policy changes can have short-term negative impact on the business. If history is any indicator, we, along with our partners, will assess the impact of these changes, adapt, innovate, and then begin to grow again. To give context, in 2010, we implemented changes that impacted certain distribution partners in our network. Although these changes adversely affected our financial performance in the first half of 2010, we believe the changes would pay off long term and by the fourth quarter of 2010, search distribution had begun to grow sequentially. In fact, since 2009, Search revenue has a compound annual growth rate of 18%. The takeaway: This is a durable business that can have volatility from time to time. We expect the impacts of the recent policy changes to be most pronounced in the late first quarter and carry on into the second quarter. After which point, we believe we'll be in a position to grow sequentially. With that said, we expect first quarter year-on-year revenue growth in the low- to mid-20s and segment income margin between 17% and 18%. As a policy, we do not provide guidance for the Search business beyond a quarter or plan to do so in the future. But given the recent press and uncertainty surrounding search businesses such as ours, we feel it is important to provide some color on our 2013 expectations. For 2013, we believe revenue growth to be in the low-double digits, keeping in mind year-on-year comps are challenging given our significant growth in 2012. We believe segment income will grow in the low-single digits, as well as we will continue to invest in the Search business through the impact of policy changes and we'll continue to have attrition in certain of our most profitable owned and operated sites, most notably Dogpile and Make the Web Better. We believe there continues to be long-term growth opportunities in search. And while the Google policy changes will impact a portion of our Search business short term, we believe these changes will ultimately provide a stronger foundation for long-term growth opportunities and we believe we are well positioned to capitalize. For our tax preparation segment, we are reconfirming our first half of the year guidance expectation of revenue of $86.5 million to $88.5 million and segment income of $45 million to $46 million. For the first quarter, we expect to report 73% to 74% of the expected revenue for the first half of the year and segment margin will be between 47% and 48%. We expect unallocated operating expenses will trend up on a sequential basis to just north of $3 million. On a consolidated basis for the first quarter 2013, we expect consolidated revenue between $156 million and $161 million, adjusted EBITDA between $43 million and $45 million, non-GAAP net income of $39.5 million to $41.5 million or $0.93 to $0.97 per diluted share, and net income of $20.5 million to $22 million or $0.48 to $0.52 per diluted share. Please note that our GAAP net income and EPS guidance does not include an expectation for noncash gains or losses related to marked-to-market derivative instruments. Also note, the impacts of such gains or losses are excluded from our non-GAAP financial measures. With that, I will turn the call over to the operator and we will be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Michael Millman from Millman Research.
Michael Millman: Eric, you've mentioned that for TaxACT you expect category growth, or at least for online, and secular shift. Can you talk a little bit about the amount you expect and what's the basis of the expectation considering the past history? And also you might comment on TaxSlayer, to what extent it's impacting TaxACT and the industry.
Eric M. Emans: This is Eric. I'll take the first part of the question and pass it on to Bill. As we said when we gave third quarter guidance, we believe that digital do-it-yourself will grow between 6% and 8%. Really, coming to that conclusion and looking at some of the IRS data that's out there, we believe overall tax filers will grow between 1% and 2% and that all that growth will really be attributed to the DDIY segment that we're seeing that overall for the tax preparers, that they're staying relatively flat to slightly down based on the last couple of years that we looked at. Also contributing to the DDIY growth is we believe the pen-and-paper segment continues to shrink and that is also a tailwind for DDIY. Turn it over to Bill to take the TaxSlayer.
William J. Ruckelshaus: Sure. Yes. So certainly, we're seeing both the big guys in the DDIY space, as well as some of our peers and direct competition in the value end of this space come out aggressively as they have in prior seasons. Not noticing a lot of anomalies or differences this season in terms of levels of spend, channels of spend, messaging and creative. I would say that though messaging probably has shifted a little bit more toward features and functionality away from price this season, but really nothing too noticeable and it's moving along. I think the timing of the budget is probably pushing back particularly in the performance channels where those are more variable and controllable.
Operator: Our next question comes from Ryan Augustitus from Northcoast Research.
Ryan Augustitus: I have a couple of questions on tax. And the first one is, has there been any change in the marketing spend this season compared to last season? I mean, you guys had a Super Bowl ad last year. Are you going to do anything this year to try to get the same amount of national attention?
William J. Ruckelshaus: Yes, so this is Bill. We are very focused on the marketing both from an awareness and, as well as a performance and call to action perspective and last year we did -- we were excited to have done a Super Bowl ad and we're pleased with the reception to that. Obviously, that's going to be more from a brand awareness perspective than it is necessarily going to be around call to action. And there has been a shift on the part of TaxACT this season to more performance channels. And we think that we can accomplish brand building within the performance channels in a way that's satisfactory, but also make sure that we're out there with very specific messages because this is a season where, I think, maybe more than others in the past, a lot of handholding is required given some of the confusion out there. And so general brand messages as opposed to pointed, content-rich, call-to-action type messages we felt were probably less appropriate this season.
Ryan Augustitus: Okay. And I have one more question. And you talked about the improvements you made to your product, and I know it's still early in this season, but are there any metrics such as the non-filers that start a return and actually complete their return that have changed so far this year compared to previous years?
William J. Ruckelshaus: Well, I would say the overwhelming difference is just the timing of the acceptances. And so that's really we think driven a pretty predictable change in behavior in terms of when people get started. And we think it's, in all likelihood, going to push out the final days of the early season. And we think that's understandable. Really, the IRS has been open for business just about 2 weeks at this point and so we would see the early season going well into next week. And so it's a busy time. But in terms of filer behavior, I think it's all following a pattern that would probably be pretty predictable based on when W-2s become available and when the IRS started accepting filings.
Operator: Our next question comes from Scott Schneeberger from Oppenheimer.
Scott A. Schneeberger: Hey, just a question with regard to -- obviously, with the fiscal cliff issues, that's pushed the season back a bit, but I found it interesting you mentioned, you just mentioned it again on the last question, W-2s late because of health care reporting. Could you delve into that a little bit more? Could you compare, contrast which is having a bigger impact you think this early season, fiscal cliff or health care? And also just discuss a little bit more, a little in depth more, on the W-2s being late and what's driving that, what specifically.
Eric M. Emans: Sure, Scott. This is Eric. A lot of what we're seeing out there is a culmination of a lot of factors. And then we chalk W-2 lateness up to one of many factors we're looking in this season that is somewhat unique. So I wouldn't try to quantify specifically the W-2 impact. I think it's just a culmination of a bunch of factors colliding. But what we're happy to see is the trends that we would expect to see once the filing date passed and people could start -- that the IRS is  [ph] start accepting e-files. Well, we're happy with the trends and starting to grow confidence in seeing trends that we have seen in the past. It's just the overall timing of that first peak is now kind of more of a hill as we move into February. And so we think that, that the peak or that hill will continue for the next week or so.
Scott A. Schneeberger: Okay. And then with regard -- but it sounds like you think one of the biggest reasons for W-2s being late is health reporting requirements. Is that a fair statement?
Eric M. Emans: I think that's a fair statement.
Scott A. Schneeberger: Okay. And I'll play off that theme going a little further. With regard to the ObamaCare, which we anticipate -- that should be in effect by next season if things are on time correctly. Could you just speak conceptually to how you view that impacting your business?
William J. Ruckelshaus: Yes, I think it's probably difficult to say at this point. What we're going to make sure we do is anticipate how filers might try to get educated about this and translate that into their own approach to how it is they're going to file in the coming year. This season, I think you're right, which is the primary effect is just the availability of the W-2 and the timing of that and principally centered around firms of greater than 250 employees. So there was a certain cutoff point where people weren't affected, but you're working at a larger company, you were. And then going forward, there is going to be added complexity. Now that's not really until future season so we'll make sure we have sufficient amount of handle and content and support around that to make sure people can navigate any challenges they have with that.
Scott A. Schneeberger: Two more, if I can sneak them in, guys. One, do you anticipate -- you guys are certainly well ingrained in your niche of the value provider within DDIY. Do you anticipate the enhanced complexity that is perceived next year? It's something that will be an industry-wide, something that will raise rates across the industry. I'm not asking for you specifically but do you think that's a reasonable statement?
William J. Ruckelshaus: So just the very fact that there's more complexity around the filing resulting in greater pricing?
Scott A. Schneeberger: Yes.
William J. Ruckelshaus: That's not something we're anticipating right now. I think the benefits for filers in staying in the DIY versus moving into prep will in part have something to do with their continued comfort and confidence in doing their own taxes, which is really where I think it's going to be incumbent upon TaxACT, in maintaining its relationships with its existing filers and building new relationships with new filers, is to make sure as it relates to new events like changing health care laws, that we continue to help people navigate through all that stuff. I don't think that in the face of that, if you call that increased complexity, that raising prices would necessarily be a constructive thing nor necessarily an anticipated thing to happen in the industry, if I'm understanding your question correctly.
Scott A. Schneeberger: Okay. No, that was very helpful and I realize I'm taking a lot of time. If I could sneak one more in. This new immigration bill and the potential that it may add more tax filers, just any further insight you could provide as your understanding to it and if you think it is something that could actually be material in the future for you?
William J. Ruckelshaus: Well, certainly, it could be material. And, of course, we welcome additional tax filers into the category and we would have to make sure to figure out how to get in front of them and offer a solution that was relevant. But I'm not sure I can crystal ball as to the timing of that happening but certainly, we would welcome it.
Operator: [Operator Instructions] Our next question comes from Rich Tullo from Albert Fried & Company.
Richard Tullo: In the long run, do you see these issues in search as an opportunity for RNSP [ph] to take share or track better partners because it seems to me that you've been doing this a long time, these issues, I believe, are issues that you've probably worked out years ago and are -- to being kind of you've worked out years ago and I think you've probably have a competitive advantage on whatever change transpires. And also can you kind of just, please, give us a little color on what best practices for the industry are and what they're going to be?
William J. Ruckelshaus: Yes, Rich, this is Bill. I think our view is that in the long run, this absolutely will be good for the industry. It is going to represent some pretty significant changes this year. As to the norm of practices out there as it relates to how search plays in the applications ecosystem, we have seen, through the course of our operating history in search, similar evolutions in different segments. And as we alluded to at the front end of the call, that the pattern that we've witnessed is, there is a transition period where -- when policy shift or practices change on the part of any of the partners such as InfoSpace, that it takes a while for the industry to react to that and find a new normal. But it's our view that, that's precisely what's going to happen this year with respect to the changes in the applications world. And it's very much in our interest to stay on the forefront of best practices and stay joined at the hip with our search engine partners to make sure that we're not only promoting our guidelines but the guidelines and preferences of our search partners. And that's what we plan on doing this year as it relates to the application changes. And I would say that broadly what best practices looks like in all corners of our business, but applications being no exception, is transparency and full disclosure and permissions and explicit consent. And so that's where I think these policy changes are headed which is, I think, unquestionably in the best interest of users. And I think in the long run, InfoSpace will be able to manage through this transition and be positioned just fine.
Richard Tullo: Okay. Now on to a couple of TaxACT questions. TaxACT, you charge -- are you going to be charging a fee for the data collection through the app? And is anybody else doing that because it seems like a significantly helpful tool?
William J. Ruckelshaus: Yes, so initially there is no charge. It's a 3-gigabit, free-storage offering. And the idea is that it is a cloud-based storage offering that is the kind of thing where you can do image capture on a smartphone and then retrieve those images for incorporation into your filing either in a tablet or desktop application. And, yes, we think it's a great idea. We think this is where the category is going and ultimately have the applications across DIY and k [ph] prep.
Richard Tullo: And you've had this business a little while now, so I don't expect an answer, but if you could provide one it would be great. What do you think the overall retention rate looks like if you could speak either to the industry or specifically to TaxACT? And also, as we look to more complexity, is the opportunity to attract those pencil filers fairly significant? Is that where the opportunity for TaxACT is going to be?
William J. Ruckelshaus: I'm sorry, what was -- the last one was what type of filers, Rich?
Richard Tullo: Pen and paper.
William J. Ruckelshaus: Pen and paper. Yes. So I think that DDIY as a category has a number of things going for it. One of which is technology advancements, ease-of-use, the software and the products are just getting better and easier to use, such that the distinctions whether it's psychographic or demographic distinctions between working with a paid professional versus doing it on your own, are becoming much, much less pronounced because doing it your own has so much support from a really robust, feature-rich DIY offering. So I think those lines of distinction are blurring with the advancement of the technology and improvements in the technology and software. I think the demographics and age composition of the overall filing population is net positive because as younger filers come into the category, they're more technology-savvy, they're more comfortable using a DDIY-like solution. And then I think you also are going to, for the foreseeable future anyway, have this continued tailwind that is people that have already declared themselves DIY but have been using pen and paper migrating over on into DDIY. So I think there's a number of positives that point to continued secular growth within DDIY. And then we feel like TaxACT is very well positioned within that as a great product at a substantially more fair price.
Richard Tullo: All right. I might have missed it. Is LegalACT owned and operated or with a partner?
William J. Ruckelshaus: That's with a partner.
Richard Tullo: Okay. And on the top line, you doubled Netflix's growth. Your earnings growth rate is very strong. Your free cash flow generation is roughly 50 to 100x what Netflix's was. Even with your guidance, this looks like sustainable. How should we be looking at this company not only throughout this year with the kind of little hiccup in the first quarter which shouldn't have been expected by all of us. But years out, I mean this seems like this is a basing kind of a period and I would think if you own Blucora shares, if you plan on owning Blucora shares, this might not be a bad time.
William J. Ruckelshaus: Well, we certainly think so, probably a little bit behind the share repurchase program authorization. But that's obviously for any individual investor to come to their own conclusions on that but we're excited about the businesses we own and their performance and each business will have issues that they confront along the way. But we feel like we have good strategies in place and good teams in place. And we also have flexibility to find further investments or acquisitions to add to the story, so we're optimistic about the future.
Richard Tullo: On the M&A front, I mean, are we looking at like small bolt-ons, essentially what you're going to be focused on in the future to add to something that would be missing from either the RNSP [ph] or TaxACT business or would you consider more diversity?
William J. Ruckelshaus: Well, I think it's probably yes on both fronts. So the good news as it relates to TaxACT and InfoSpace is that there are a range of smaller acquisitions that could add capabilities or talent and accelerate what we're trying to do in each business, and as well the optionality exists around finding another business to add to the mix. So probably, yes to all those questions.
Operator: This ends our Q&A session and the call. Ladies and gentlemen, thanks for participating in today's conference. This concludes the program. You may all disconnect.